The New York Times Company (NYT):
Executives: Paula Schwartz – IR Janet Robinson – President and CEO Jim Follo – SVP and CFO Scott Heekin-Canedy – President and General Manager
Analysts: John Janedis – Wells Fargo Alexia Quadrani – JPMorgan Craig Huber – Access 342 Edward Atorino – Benchmark
Operator: Ladies and gentlemen, good day and welcome to The New York Times first quarter 2010 earnings conference call. Today's call is being recorded. A question-and-answer session will follow today's presentation. Instructions on how to queue for questions will be provided at that time. And now for opening remarks and introductions, I'll turn the conference over to Ms. Paula Schwartz. Please go ahead.
Paula Schwartz: Thank you Delia, and welcome to our first quarter 2010 earnings conference call. We have several members of our senior management team here to discuss our results with you. They include Janet Robinson, President and CEO, Jim Follo, Senior Vice President and Chief Financial Officer, Scott Heekin-Canedy, President and General Manager of The Times and Martin Nisenholtz, Senior Vice President, Digital Operations. All comparisons on this call will be for the first quarter of 2010 to the first quarter of 2009 unless otherwise stated. Our discussion will include forward-looking statements and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2009 10-K. Our presentation will also include non-GAAP financial measures and we have provided reconciliation to the most comparable GAAP measures in our earnings release, which is available on our corporate website at www.nytco.com. An archive of this call will be available on our website as will a transcript and a version that's downloadable to an MP3 player. With that, let me turn the call over to Janet Robinson.
Janet Robinson: Thank you, Paula and good morning everyone. We were very pleased to report continued strong improvement in our operating performance. In the first quarter, we experienced significant positive trending in both print and digital advertising relative to the fourth quarter. As the quarter progressed, we saw acceleration in the rate of advertiser spending across our newspapers, websites and other platforms reflecting a firming of economic conditions. The company's continued progress in our long-term strategy to restructure our cost base and reposition our businesses also contributed to the growth in our operating profit. Some of the actions that supported our successful efforts were securing strong performance on costs with a heightened emphasis on efficiency, diversifying our revenue streams with particular focus on increasing revenues from our digital sources, leveraging our brand strength to grow profitable circulation revenue where we believe that strong demand for high quality journalism as demonstrated by the Times's three newest surprises will inevitably lead to increased value and managing our asset portfolio to strengthen our core operations and enhance our digital presence. We achieved strong growth in our operating profit, which excluding depreciation, amortization, severance and a special item in 2009 increased more than five fold to $83 million in the first quarter, from $16 million in the first quarter of 2009. On a GAAP basis, we reported operating profit from continuing operations of $53 million, compared with an operating loss of $62 million in the same period of 2009. Diluted earnings per share from continuing operations, excluding severance expense and special items grew 132% to $0.11 per share compared with a loss per share of $0.34 in the same period of 2009. On a GAAP basis, we reported diluted EPS from continuing operations of $0.08, compared with a diluted loss per share of $0.52 in the first quarter of 2009. Our results include a couple of special items which Jim will review with you. Once again, strong cost control was a leading contributor to our improved operating performance in the quarter. The aggressive actions we have taken to permanently reengineer our cost base in recent years are evidenced in the 18% decline in our operating expenses. While we will remain vigilant in managing our cost, we expect these saving trends to moderate during the remainder of the year. Our liquidity position improved during the quarter as a result of strong cash from operations, which provided us with increased financial flexibility. Another one of our strategic focuses is managing our asset portfolio. Just after the close of the first quarter we completed the sale of about 7% of our interest in the New England Sports Ventures for a pretax gain of approximately $9 million. We are pleased with the quality of the transaction and believe it speaks to the overall value of this asset. We continue to hold a 16.6% stake in NESV and we intend to keep exploring the sale of this asset in whole or in part. In January, we announced that we will be introducing a paid model of nytimes.com at the beginning of 2011 and in the first quarter we certainly made further progress in the areas of product design and development toward that launch. This includes everything from defining exactly what content will count towards the meter to determining how to treat traffic coming through search or referred through other sources. We have not come to final conclusions on many of these fronts but we will aim to provide further updates as we move towards the launch of the new online model next year. Now let me provide you with more detail on our revenues. Total revenues for the company declined 3%, a significant improvement from the fourth quarter decline of 12% with ad revenues down 6%, circulation revenues up 4% and other revenues down 16% Noteworthy growth in digital advertising revenues which rose 18% significantly offset a 12% decrease in print advertising revenues and held our total advertising revenue decline to approximately 6%, compared with the first quarter of 2009. These numbers clearly demonstrate the positive impact of transitioning into an increasingly multi-platform company as we continue to extend our content to new devices and our reach to new audiences. Online advertising revenues have become a much more significant part of our revenue mix and made up 26% of our advertising revenues in the first quarter, up from 20% in the same period in 2009. At the News Media Group which includes the New York Times, New England, and Regional Media Groups, ad revenues decreased 9% due to lower print advertising across the group. By advertising category, national revenues were down 6%; retail was down 11% and classified was down 16%. Within the classified area, recruitment fell 17%, real estate declined 24% and automotive was down 13%. Print advertising revenues decreased 12%, improving markedly as the quarter progressed. This decline was offset in part by 11% growth in online advertising revenues, mainly due to steady growth in national display advertising. We experienced better revenue trends across the News Media Group as a result of decline across all the major categories, national, retail and classified, significantly lessened during the quarter with the national and retail categories crossing into the positive growth territory in March. The group's total advertising revenues which declined 9% year-over-year in the first quarter decreased 18% in January, 11% in February and were up 4% in March. Now breaking down the News Media Group into its component properties, at the Times Media Group, advertising revenues declined 7% in the quarter as decreases in print advertising were partially offset by healthy growth in online display advertising, the national print ad categories, where we saw the largest declines were studio entertainment where the studios released fewer films than last year and provided limited support for new releases and the weak Oscar race did not provide the boost that it did leading up to last years award ceremony, financial services, where banks reduced spending versus last year when there was a significant spending on top recipients, transportation, where several airlines and tour operators reduced spending from the first quarter of 2009, the national print ad categories where we saw the largest gains were media which benefited from advertising by cable providers and broadcast stations over contract disputes, healthcare because pharmaceutical companies and hospital increased their placements and national automotive led by higher spending from domestic manufacturers and a new image campaign from Toyota. Firm growth in online national advertising was led by strength in media, financial services and American passion. It is important to note that the Times is in a unique position in the national ad market, both in print and online with over three quarters of its ad revenue coming from national advertisers. As the larger U.S. economy continues its recovery our luxury advertisers are also starting to pickup spending, as evidenced by the April year-to-date revenue growth we are seeing across our (inaudible) franchise. Although classified advertising at the Times Media Group decreased in all three major categories, real estate, recruitment and automotive, the rate of decline for recruitment moderated as the quarter progressed and moved into positive growth territory in March. Retail advertising revenues decreased due to declines in mass market and department store advertising. At the New England Media Group, advertising revenues declined 10% in the quarter due to weakness in print advertising. National ad revenues were down as healthy growth and online advertising could not fully offset lower print ad revenue. Decreases in the bank, telecommunications, and studio entertainment categories more than offset gains in the media, package goods and pharmaceutical categories. Retail advertising revenues were lower, led by softness and health, sporting goods and general merchandize store advertising. Classified advertising at the New England Media Group was soft in all three major areas but the rate of decline in real estate advertising moderated as the quarter progressed. At the Regional Media Group, advertising revenues decreased approximately 16%, primarily due to weakness in print advertising particularly in a retail category. Excluding a divestiture, advertising revenues would have declined approximately 12%. The rate of decline in classified real estate and recruitment advertising lessened in the quarter while classified automotive advertising declines remained flat. In the News Media Group, circulation revenues continue to grow and were up 4% as we were able to command higher subscription and new stand prices at the Times and the Globe. This positive result emphasizes that our journalism is highly valued by our readers. Moving to the third component of the News Media Group's revenues, other revenues decreased 17%, primarily due to lower commercial printing and digital archive revenues and the closing of city and suburban, the Company's retail and news stand distribution subsidiary in early January 2009. Extending our reach is an important component of our multi-platform strategy. That of course all begins with preserving and enhancing the strength of our core brand and the company's ceaseless commitment to the very highest standards of journalism. The Times again received recognition of that quality this month in the form of three Pulitzers which we add to a long line of predecessors in the areas of national reporting, explanatory reporting and investigative reporting. Earlier this month, we launched Business day online, our new section front for Times Digital Business coverage. The section front has been rebuilt to more closely resemble a home page providing our readers with all of the news, analysis, commentary and business tools they need in one place and offering advertisers an innovative environment with a high quality audience composed of the influential readers most attracted to this type of news. Expanding the reach and audience for our stellar content has driven our investments in our online businesses as well as our efforts to grow our audience in print, online, mobile, e-readers, social media and other products. In particular during the past two years, the Times have launched a number of mobile products and apps and advertisers are making good use of our large mobile audience. In March alone, we had approximately 78 million page views from our mobile sites and apps, and we also just reached nearly 4 million downloads of our iPhone app since its launch in July 2008. We continue to embrace innovate new platforms and devices that provide rich experiences for our users. For example, with Apple's launch of the iPad earlier this month, we simultaneously released the free advertising supported New York Times Editor's Choice App sponsored exclusively by Chase Sapphire. This app offers a selection of the latest news, business and technology news, opinion and features chosen by Times Editors. Editor's choice delivers two pages of content with the top eight to ten article and accompanying videos and photo slideshows. The app takes advantages of the devices large screen display as well as video and slideshow capability and it offers simple navigation, offline reading and sharing options. The Times is also planning a full paid app for the iPad as part of its overall paid strategy. In the first quarter, the Times also launched on Sony Reader and the Barnes & Noble Nook. This series of e-reader product launches solidifies our status as the trailblazer in the Digital News Community. We are also extending our reach within social media and continue to deepen our relationship with Facebook and Twitter. Content sharing tools such as Facebook Connect and Twitter @anywhere add an additional layer, personalized and social networking to the newyorktimes.com experience. At the same time that we are extending our reach to new audiences, the company remains a leader in advertising product innovation, capitalizing on the value of our core brands to build premier position in the new Digital Media landscape. Nytimes.com continues to be a true innovator in brand advertising and marketers come to us for our reach, the quality of our audience and our ability to create and execute unique campaigns. As a result, we saw sizable gains in display advertising during the quarter from large format display ad units from Blue Chip Advertisers such as Polo Ralph Lauren, CBS, Discovery Channel and Starbucks. The Times sales staff continues to command a premium through its inventory across the site other than using Google Adsense for its indirect inventory monetization. Nytimes.com has opted out of participating in ad networks. In the first quarter, digital ad revenues for the Total News Media Group increased to 11%. Healthy growth in display advertising was offset in part by lower classified advertising. After experiencing declines for much of 2009, digital advertising revenues for the group saw increasingly positive growth as the quarter evolved with increases of 5% in January, 12% in February and 18% in March. Once again the Abbott Group had an outstanding quarter. Total revenues rose 29% to $35 million from $27 million in the first quarter of 2009. Advertising revenues rose an impressive 30% bolstered by strong growth in both cost per click and display advertising. Display advertising showed marked improvements from top brand including Disney, T-Mobile and PMG. Operating profit continued trending upwards rising 85% to $17 million from $9 million in the first quarter of 2009. The Abbott Group's operating margin expanded to 78% in the first quarter up from 33% in the same period of last year. Over the past two years abbott.com has taken a number of steps to improve its sales initiatives including expanding the professional expertise of its sales team, revamping its marketing strategy and developing new offering for marketers. In the first quarter, total revenues from our internet businesses increased approximately 16% to $90 million from $78 million in the first quarter of 2009. Internet businesses accounted for 15% of the company's revenues in the first quarter versus 13% in the same period of 2009. Total internet advertising revenues increased 18% to $80 million from $68 million in the previous period. In the early part of the second quarter, revenue trends for print advertising are expected to improve from levels in the first quarter while digital advertising is expected to trend similarly to the first quarter with increases in the high teens. Now let me turn the call over to Jim who will give you more details on our results.
Jim Follo: Thank you, Janet. We reaffirmed our commitment to rigorous expense control in the first quarter, building on our multi-year progress to restructure our cost base. Operating costs declined 18% for the quarter as reductions occurred in nearly all major expense categories as a result of the cost restructuring initiatives, with about half of the savings coming from reductions in compensation and news print expense. For the quarter, we achieved more than $117 million in savings while continuing to develop innovative products based on our high quality journalism. Getting to the special items, our fist quarter earnings were favorably effected by a $0.04 gain from the sale of an asset at one of our paper mills in which the company has an investment, and we were unfavorably affected by a $0.07 one time tax charge for the reduction in future tax benefits, retiree health benefits resulting from recently issued federal healthcare legislation. EPS for the first quarter 2009 had been unfavorably affected by an estimated loss on leases at city and suburban of $0.07. Severance costs were minimal at $237,000 in the quarter, compared to $0.11 per share or $25 million in the first quarter of 2009, which were primarily at the New England Media Group. Depreciation and Amortization decreased 17% to $30 million from $37 million in the first quarter of 2009, primarily because of lower depreciable assets. For the year, we expect depreciation and amortization to be between $125 million and $130 million. News print expense decreased 37% in the first quarter, of which 25% was attributable to lower pricing and 12% to lower consumption. News print prices rose in the first quarter, but were significantly lower than in the same period last year. We anticipate prices will continue to rise in the second quarter, given the recent announcements of additional price increases by suppliers. We expect our news print price bearings to be slightly favorable in the second quarter with unfavorable variances occurring in the third and fourth quarters, compared with the prior year periods. Income from joint ventures in the quarter was $9.1 million, including a $12.7 million pretax gain from the sale of an asset at one of our paper mills in which the company has an investment. The company's share of the gain after eliminating the non-controlling interest portion is approximately $10 million. Excluding the gain, income from joint ventures was lower than in previous period due to lower paper selling prices at both paper mills in which the company has investments. For the year, we expect income from joint ventures to be between $5 million and $10 million, excluding both the pretax gain of $13 million recorded in the first quarter and the $9 million gain we expect to record in the second quarter of this year from the sale of a portion of our stake in NESV. Net interest expense increased in the quarter to $21 million from $18 million as a result of higher rates on our debt, offset in part by lower average debt outstanding. In 2010, we expect net interest expense to be between $85 million and $90 million. As Janet mentioned, we significantly improved our liquidity position and finished the quarter with $100 million cash. We reduced our net debt by about one third to $671 million from its balance at the beginning of 2009 and we had no outstanding borrowings excluding our lines of credit under our revolving credit facility. To close and restructure our debt last year we lengthened our debt profile and now the majority of our debt matures in 2015 or later. Early in the second quarter, the company made a discretionary contribution of $78 million to one of its sponsored qualified pension plans by using cash-on-hand reducing the under funded status. The company may make additional discretionary contributions through its sponsored qualified pension plans depending upon cash flows, pension asset performance, interest rates and other factors. As previously disclosed, the Company also expects to make contractual contributions of approximately $22 million to $28 million in connection with the New York Times Newspaper Guild pension plan. In the first quarter, our effective income tax rate was 65.6%. The tax rate was driven by a $10.9 million one time tax charge I mentioned earlier. Excluding the charge, our effective tax rate was 39.3% in the first quarter. We have taken decisive steps to reduce capital spending and improve liquidity. Capital expenditures totaled $4 million in the quarter, down from $26 million in the first quarter of 2009. For the year, we project capital spending will be approximately $50 million, including the amounts associated with the technology required to support our paid model initiative for nytimes.com. While we will remain diligent managing our operating costs, we expect that for the remainder of 2010, year-over-year cost savings will moderate, in part because we are cycling past several major expense reduction initiatives implemented in mid-2009. We reinstated many of the salary rollbacks implemented in the second quarter of 2009 and news print prices are currently rising. We do expect to manage our operating cost base such that we will adjust expense levels to offset any revenue declines through the remainder of the year. In closing, we remain committed to streamlining costs, strengthening our balance sheet, realigning our portfolio and growing and diversifying our businesses and we believe we are well positioned to cease the value creating opportunities that will accompany in economic recovery. We recognize that the quality of our journalism is the heart of the company's success and our strengthening financial condition will ensure this quality journalism can continue to thrive. And with that we'll be happy to open up to questions.
Operator: (Operator Instructions). With Wells Fargo, we have John Janedis.
John Janedis – Wells Fargo: Thanks. A couple of questions. First Jim, just to follow-up on the expense trends; I think in the past you've given more of a target if you will in terms of savings for the year and so I'm wondering can you help us a bit more in terms of maybe the order of magnitude in terms of the decline for at least second quarter and then if you can in terms of detail remind us of what the bigger pieces of the savings were in the second half of '09 that won't repeat. Thanks.
Jim Follo: Well, you'll recall that quite a bit of the work we did up in our New England Media Group last year and you will remember that we had some significant restructurings that resulted in about $20 million savings through some union contract negotiations and a plant consolidation. Those were done about mid-year last year. We had some salary rollbacks that were implemented in the beginning of the second quarter of last year. So those also don't repeat. And there was just kind of acceleration of a number of different initiatives much lower, smaller in scale, but still meaningful. So those will clearly make the comparisons much more difficult. As I said, we will remain diligent in our cost efforts throughout the remainder of the year. We have not put a target out there. I think it's going to be – I think we will still see some reduction go into the second quarter. Those will certainly moderate off what we saw in the first quarter, first quarter been very strong and about 18% down. But we are going to be fairly fluid in our approach to managing costs in this point going forward.
John Janedis – Wells Fargo: Okay. Thanks and then switching gears a bit, I think you're going to start sizing up against some of the last year's news stand and home delivery increases, I think maybe sometime around the end of June or early July. Does this year's budget call for another increase for either of those?
Jim Follo: We don't disclose our any plans we have for circulation price increases. So, what I can tell you is that we will continue to see growth through that point cycling and perhaps a bit beyond.
John Janedis – Wells Fargo: Okay and then Scott, maybe as somewhat of a follow-up, in terms of the March number which sounded quite good. I'm assuming some of the benefit was used – some of it was some of the retrend stuff you guys discussed. Can you help us think about April in the context of March, maybe how much was pulled forward into March and how do you think about April?
Scott Heekin-Canedy: We really don't think that Easter timing had much effect on our results. Easter fell in April both last year and this year, timing a little bit different, but we don't see as really affecting our results. March was a really good performing month. It was positive and we don't see – while we see continuing sequential improvement we don't see it happening necessarily in a linear fashion. April is definitely in line for that sequential improvement but not with the same strength as March. There are a lot of – there was a confluence of I think unique factors in March which drove those results. April, I can give you a little bit detail if you like, April we're seeing strength in financial services. Throughout the first quarter financial services had very difficult comps and did not see growth, but we can expect to see growth I think for the rest of the year. Luxury has been performing sequentially better. Automotive continues to be strong as it was toward the end of the fourth quarter last year. Healthcare also another category that was strong last year is continuing and should be strong throughout the year, Advocacy also strong in April. Challenging categories in April continue to be studio and live entertainment, challenging for us throughout the first quarter and we expect through the rest of the year. Likewise for telecom, real estate and recruitment.
John Janedis – Wells Fargo: Thank you.
Operator: Our next question comes from Alexia Quadrani with JPMorgan.
Alexia Quadrani – JPMorgan: Thank you. First just to clarify on your answer just now were you saying that April is trending better than March or better than the quarter?
Jim Follo: Definitely not as strong as March, but showing the sequential improvement that was built into the first quarter.
Alexia Quadrani – JPMorgan: And then on the – just if you can talk a bit about the competitive environment at NYT, are you seeing any particular pressure in your New York City, increasingly competitive environment. Are you seeing ad rates maybe under pressure more in the New York area versus maybe some of the other properties?
Jim Follo: We're seeing pressure but we don't believe it's so far having any effect on our business. Some of the rates that are out there from the journal are deeply discounted. There are many packages with free pages built into them according to advertisers we're talking to. But we've seen these kinds of tactics in the past both in journal and many other competitors and we believe that we can manage through that kind of rate pressure.
Alexia Quadrani – JPMorgan: And then just on the online business, can you tell us how much online ad revenues at news media comes from display versus classified?
Jim Follo: I can tell you that at nytimes.com the classified percentage is now down to 14%. We'll get you a number across the group that would obviously be somewhat higher than that but the times website is obviously the dominant website in the news media group by a very significant margin. Total company, actually because of Abbott. See what we have, we have an aggregated number that includes Abbott. So because of Abbott, total company classified is only 13%. We can try and extract Abbott and get you a number but NYT is 14%, Boston NEMG is 48%, the regionals are 42%. But again because they're relatively smaller in terms of impact, you can't just average them out that way and of course Abbott is 0%. So total is 13% for the company. The total display on the other hand is 53% with cost per click advertising now at 24% and other at 10%. So I think it would be fair to say that probably benchmarked against most other news paper companies our exposure to classifieds across the company is small and becoming much smaller.
Alexia Quadrani – JPMorgan: Okay, that’s very helpful. Yes, that was actually looking specifically for [ph] New York Times. That is very helpful detail. Just falling back on that though, the online classified revenues in the quarter, were they down more than the classified print revenues or less so?
Jim Follo: I would think they would be down. I’m sorry, in the News Media Group the classified online revenue was down about half the rate it was around in the newspapers.
Alexia Quadrani – JPMorgan: Perfect. Thank you very much.
Operator: And next up from Access 342, we have Craig Huber.
Craig Huber – Access 342: Yes. Good morning. A few questions if I could. Online help wanted, how much was the percentage change there year-over-year in the month of March and also for the quarter and then I have some follow-ups?
Scott Heekin-Canedy: Online help wanted in the quarter was down about 20%. I don't have it just for the month. That was for the quarter.
Janet Robinson: We'll get back to you on the month, Craig.
Craig Huber – Access 342: And then also your press release talks about adjusted – radio station sale. Your News Media Group ad revenue is down 9.1%. How much was the advertising volume down in the quarter?
Jim Follo: We don’t give out volume data Craig,
Craig Huber – Access 342: All right. What I'm trying to get to is how – I always ask this, how much is your blended overall news for advertising rates down you think year-over-year? Do you think down 5% is a reasonable assumption across your newspapers for the quarter?
Scott Heekin-Canedy: New York Times media group we're showing a rate yield in low single digits. It's due to a number of factors including the category mix, increased color advertising and increased premium position placements.
Janet Robinson: And at Boston and the regional Craig the rate yield has decreased but that has a great deal again to do with mix and certainly use of color and certainly contractual commitments as well and positioning.
Craig Huber – Access 342: Okay and then the other thing that’s in a lot of investors minds here is, you have a Wall Street Journal, Murdoch threatening to go through with a war against you guys on the advertising front and give circulations (inaudible) do allow here. On the advertising front, what do you have here to combat this? He is out there potentially looking at cutting his ad rates by 80% give or take as we read about out there and given that your demographics are pretty darn similar to the Wall Street Journal, you guys both have very high quality editorial content unlike when you're going up against his New York post. He's been willing over the years in London and particularly here in the states to absorb massive, massive losses year after year.
Janet Robinson: We are not concerned.
Craig Huber – Access 342: Yes, but what are you going to combat this with Janet?
Janet Robinson: We don’t shy away from the competition. We never have and we never will Craig. We fully understand how to compete and in fact we enjoy it. The fact of the facts, we've had many competitors, not just one for many years due to the fact that we have competed against all advertising categories due to the broad coverage that we've had in the paper forever. We are aggressively competing not only with the content but also with a lot more innovation and customizing of advertising packages and one of the things that I think people have to recognize is that people know what they get even when it's free. So advertisers are well aware of the facts, very well aware of the fact that the return on investment is extremely important and I guess I beg to differ in regard to our demos because they are very different. They are not similar from your earlier comment. The advertisers are aware of the fact that our audience is 22 million in print and online versus the journals 13 million. They're well aware of the fact that 5 million business decision makers online is double that of what is on WSJ.com. They are well aware of the fact that we have the largest advertising share of National Newspaper advertising by a very large margin. They are very well aware of the fact that 75% of the Wall Street Journal readers already read the New York Times. They are aware of the fact certainly that we have a larger female audience. They are aware of the fact that there is more time spent with our newspaper and websites than the Wall Street Journal and very well aware of the fact that the Times has a very strong reputation of developing customized, innovative multi-platform packages primarily because we've been such a leader in making sure that multi-platform is part of who we are. These are the facts and I think they speak for themselves.
Craig Huber – Access 342: I appreciate that Janet but if I could just ask, and I'm talking more about the wealthy households that both your paper reaches as well as the Wall Street Journal. I realize that the women demographic is certainly different to your point. But if you have a guy up there in Wall Street Journal, if he does in fact cut his add rates by 80%, do you not think that’s going to hurt your overall ad revenues if you think out over the next two to three years plus?
Janet Robinson: I think that from a volume perspective certainly they will increase volume by giving away a lot, a lot of free advertising. We are not doing that. We are customizing our packages. We're doing so across the newspaper and online and beyond and we are finding that indeed advertisers are very well aware that a free ad in any vehicle may not necessarily be as effective as a paid ad in a property that indeed has a very, very responsive audience. As I noted, you are talking about advertisers who are being held accountable for a strong ROI on their advertising. So I think we have to remember that indeed they are going to look at the responsiveness of that audience with great detail Craig.
Craig Huber – Access 342: Thank you Janet.
Janet Robinson: You're welcome.
Operator: Next up we have Edward Atorino with Benchmark.
Edward Atorino – Benchmark: Hi. I think you mentioned in the joint venture there was a gain in there. Did I hear that right? What was the gain?
Janet Robinson: Yes you did. It was the gain from our sale of a portion, 7% portion of our sale in the…
Edward Atorino – Benchmark: Oh, that’s right. What was the amount Janet?
Janet Robinson: Hold, on. Hold on.
Jim Follo: We have an investment in a paper mill in Maine and they sold an asset in Maine.
Edward Atorino – Benchmark: And what was the contribution? What was the gain in there of the $9 million?
Jim Follo: The gain in the joint venture line was $12 million but it is a minority interest portion of that I believe the number net after minority interest is about $9 million or $10 million and that’s called out in the press release.
Edward Atorino – Benchmark: Well I didn’t – so without that it was zero?
Jim Follo: I think there might have actually been a small loss.
Edward Atorino – Benchmark: Okay that’s what I want. Secondly not to belabor the point on Mr. Murdoch, Janet, have you, is there particular "strategy" or you're just going to keep on trucking the way you do?
Janet Robinson: Oh no. There is definitely a very well orchestrated, well planned strategy in regard to how we compete both in New York and beyond against every category and really against every advertiser. We're very used to competition. When you are the lead dog, people are constantly going to go after you.
Edward Atorino – Benchmark: Yup.
Janet Robinson: Whether it'd be the Wall Street Journal or other magazines or other platforms. We're very used to this. The strategy is to make sure that our content continues to be invested in and continues to expand. It means that indeed the audience will continue to grow. We're certainly doing that with all of our online features that we're adding and we're continuing to drill home the fact that our audience is more receptive and certainly more engaged with our products than many of the competitors. So from a standpoint of an aggressive competitive strategy, you can certainly count on us to make sure that that is not only planned but already very, very much in place and has been for a very long time.
Edward Atorino – Benchmark: And one last question. This is the cleanest quarter the Times has had in sometime and thank you for that. Should we infer that you're more or less through with the majority of lets call it non-recurring items?
Jim Follo: Well non-recurring by nature are kind of …
Edward Atorino – Benchmark: That’s okay. You know what I mean. I mean there have been write-offs and stuff and this is really a pretty clean quarter.
Jim Follo: Yes we believe it is. Yes
Edward Atorino – Benchmark: Great. Thanks.
Jim Follo: I was just – just somebody had asked a question earlier about what the March month online classified was in our News Media Group and that decline was 13.2%. For the quarter it was 21.3%.
Janet Robinson: And just another clarification. The Abbott Group's operating margin expanded to 48% in the first quarter, up from 33% the same period of last year.
Edward Atorino – Benchmark: Did you comment at all on April trends? Did I miss that?
Janet Robinson: We said that indeed print advertising was continuing to improve and that the strong performance in digital advertising was continuing into the second quarter as well in the high-teens, that indeed it was continuing on the same level.
Edward Atorino – Benchmark: Thank you.
Operator: And now we have a follow up question from John Janedis with Wells Fargo.
John Janedis – Wells Fargo: Hi thanks. Just trying to think about the ad market again, broadly speaking and so, looking back to '04 and into early '05, I think national print advertising lagged retail a bit in that ad recovery and so I'm wondering, when you think about this recovery broadly going forward, how do you think about the relative growth rates between the two categories?
Janet Robinson: I think that national advertising is going to pick up quite markedly as year goes on. We're hearing from advertisers that they're a bit tentative in the beginning part of the year to see the recovery and how strong it's going to be but its very clear that advertisers are going to have to look at more branding opportunities. So consequently display advertising, particularly national I think is going to have to continue to show stronger improvement and particularly I think they're going to have to make sure that they have larger units online and certainly do so in paper as well and certainly with other platform choices that they do make.
Scott Heekin-Canedy: John this is Scott. I can take you through the categories that we think are very likely to show nice growth this year. They're pretty much all national in character, financial services, tech, media, healthcare, American Fashion, Cosmetics Fashion jewelry, automotive, sea hotels. We think we'll see growth in all of those.
Janet Robinson: And the fact that as you know very well John, the fact that the Times Company has such a large portion, national advertising already and has always had a large portion. We think that there is strong opportunity for us in that area.
John Janedis – Wells Fargo: Okay that's helpful. And for the other two groups meeting, the regionals and New England. Without really saying what the numbers are obviously, do you think the local or retail component would be growing better than national for the year or is it too soon to know or how do you think about that?
Janet Robinson: When you look at the categories in Boston for the first quarter that showed improvements with media, packaged goods, pharmaceutical, national auto, advocacy, some good national business there and on the retail side we saw jewelry and that category showing some signs. But the retail and the local side was still a little softer in the first quarter in Boston. In the regionals, the categories were soft. Where we did see growth in the regionals was in digital. Excluding Florence, digital was up about 10% in the regionals. But they are continuing to see softness as I noted in my remarks in the classified area and in the retail area, with some improvement with the declines lessening but with some improvement.
John Janedis – Wells Fargo: Great. Thank you, Janet.
Janet Robinson: You're welcome.
Operator: Ladies and gentlemen, that does conclude today's conference, actually our Q&A session and for now for closing remarks I'll turn the call over to Ms. Schwartz
Paula Schwartz: Thank you for joining us today. Please give us a call if you have any additional questions. Bye-bye.
Operator: That concludes today's conference call. Thank you for your participation.